Operator: Good day, and welcome to the CareCloud, Inc. First Quarter 2021 Results Conference Call. This conference is being recorded. At this time, I’d like to turn the conference over to Ms. Kim Blanche, General Counsel. Please go ahead, ma'am.
Kim Blanche: Thank you. Good morning, everyone and welcome to the CareCloud's first quarter 2021 conference call. On today's call are Mahmud Haq, our Founder and Executive Chairman; A. Hadi Chaudhry, our Chief Executive Officer, President and the Director; Stephen Snyder, our Chief Strategy Officer and the Director and Bill Korn, our Chief Financial Officer.
Stephen Snyder: Thank you, Kim, and thank you everyone for joining us on our first quarter 2021 earnings call. As a team, we're pleased to report another strong quarter as we remain focused on empowering healthcare providers and health systems with our technology enabled solutions, and we continue to pursue acquisitive and organic growth opportunities. For the first quarter, we generated revenue of $29.8 million notwithstanding seasonality that places downward pressure on first quarter revenues across the entire industry. This represents a year-over-year increase of 36%, driven largely by our acquisitive growth. And as we continue to grow our top-line, we also increased our adjusted EBITDA year-over-year by 381% to $3.7 million. At the same time, we increased our adjusted net income by 718% to $2.9 million. As we look ahead, we're committed to continuing to make bold moves in pursuit of our growing customer base and expansive addressable market.
Hadi Chaudhry: Thank you, Steve, and thank you everyone for joining our quarter one, 2021 earnings call under our new brand CareCloud. We're incredibly excited about where we find ourselves in our company's journey. Before I discuss our progress this last quarter, I would first like to take a moment to thank Steve Snyder for his service as CEO over the past three years. Under his leadership, we've worked together to transform our company and position us to be the leader we're today. We grew our revenues by 258% and customer base by 11 times, a feat we are all very proud of. I know I speak for all of us when I say thank you and that we're excited about the role you will be taking on as our Chief Strategy Officer focusing on our M&A strategy. The CareCloud name better represents who we are today and our commitment to providing powerful cloud-based solutions, covering more than 40,000 healthcare providers across 50 states. CareCloud today provides industry-leading electronic health records, practice management systems, a patient experience platform, revenue cycle management services, deep healthcare analytics, and robotic process automation capabilities and more that drive the business of medicine supported by more than 3,000 team members worldwide. We're hard at work every day to help guide our healthcare clients into the future with modern, easy to use technology paired with disciplined, efficient and comprehensive business solutions. Today, healthcare leaders are being asked to also innovate, to embrace new payment and care delivery models, reimagine their patient journeys and compete in a new healthcare landscape. And we're well poised to help. This hard work and dedication by all of our team members has enabled us to achieve our targets, including a significant year-over-year increase in first quarter of revenue of 36% to $29.8 million.
Bill Korn: Thank you, Hadi. First quarter 2021 was another strong quarter of growth for CareCloud. As both Steven and Hadi mentioned revenue for the first quarter of 2021 was $29.8 million, an increase of $7.9 million from $21.9 million in the first quarter of 2020. First quarter results always include an element of seasonality. Due to the early year impact, annual patient deductibles have on the 65% of our revenue that's tied to the money collected by the doctors who are our clients. When patients visit the doctors in the first few months of each year, their insurance has a deductible. So payment to the doctor takes longer, and a portion of our revenue is delayed. This is normal in our industry. Q1 also saw a small decline in patient volumes due to COVID-19, most notably in primary care practices. As many people work-from-home and many children went to school remotely, we didn't see the normal winter flu season. Up to half of all pediatric visits in the winter are often a result of cold or flu, or the increased ear infections, exacerbation of asthma or other things that are caused by cold and flus. And with the healthier population, these visits were down. However, we didn't see much of a deferral of elective procedures as we did during 2020 and the overall decline was a few percentage points. So in total, we believe that most of the impact that COVID has had on reducing industry volumes is now behind us. The increasing contribution from organic revenue growth in the first quarter, included revenue from new clients, as well as additional revenue from cross-selling existing clients, both of which will provide a boost to coming quarters as well. Our first quarter 2021 GAAP net loss was $2 million an improvement of $538,000 compared to a net loss of $2.5 million in the same period last year. GAAP net loss includes $2.8 million of non-cash depreciation and amortization expenses and $1.3 million of stock-based compensation. GAAP net loss was $0.36 per share based on the net loss attributable to common shareholders, which takes into account the preferred stock dividends declared during the quarter.
Mahmud Haq: Thank you, Bill. We're fortunate to be in our strongest position ever poised for another record breaking growth and increasing profitability. We thank our investors, customers and employees for their continued support. We'll now open the call to questions. Operator?
Operator: Thank you. . We will now take our first question from Jeffrey Cohen from Ladenburg Thalmann. Please go ahead.
Jeffrey Cohen: Sure, couple of questions. Trying to better ascertain for our model as far as the cadence for the year on the revenue side and how that correlates with what you found on the deductibles from Q1 as COVID or any other kind of extra metrics kind of push that out a little bit. I know that we've previously thought of the cadence being Q2 being more closer to Q1 and then showing a more of a back half ramp. Any commentary there or any thoughts on that? Please.
Bill Korn: Thanks, Jeff. So good question. And I think that the pattern that you suggested seems very appropriate to us. We expect that we'll see a little bit of growth in Q2. We normally do. I think that at this point, as we see COVID impacts decreasing, there still is some impact. And again, Q2 typically, at least the April timeframe would have sort of the tail end of cold and flu season, which is really not there this year. So you won't see the increase that maybe as much of an increase as you would have seen. But everything that we've seen that suggested by Q3, Q4 barring anything unforeseen, we should be back to sort of business as usual. And of course, we continue to be signing up new customers and cross-selling existing customers. So that continues to grow our revenue base. And of course, anyone that we signup today, you don't really see any revenue until the back half of the year, so I think the pattern that you mentioned that's completely appropriate.
Jeffrey Cohen: Okay, got it. And second for me is Hadi, you had spoken a little bit about the 14% to 16% investing. Can you be more specific as far as where that's showing up? It looks like for the quarter at least for Q1 and perhaps I'm assuming the outlook. So your G&A was lighter than we expected. So what I'm curious about is the investing in the business of 14% to 16%. Where should we see that shelf, is that direct operating costs or is that elsewhere?
Hadi Chaudhry: This should be sales and marketing. Bill, would you like to add this specifically that increase in the sales and marketing and Bill, would you like to add some color?
Bill Korn: Sure. So I think you'll actually Jeff see increases, as Hadi said, we continue to add to our sales and marketing teams. So you'll see that that growing quarter-over-quarter. We continue to be investing in R&D. And, while we try to do that as cost effectively as possible, you continue to expect to see some growth there. And finally, even in terms of direct operating costs, while we always keep a lid on our expenses, as we rollout new clients that we have more work to do because our service is very, both uses technology and people you'll continue to see growth in direct operating costs, although as a percentage of revenue, it will continue to decrease.
Jeffrey Cohen: Okay, perfect. Nice readout, that's it for me. Thanks.
Bill Korn: Thanks, Jeff.
Hadi Chaudhry: Thank you.
Operator: We'll now take our next question from Richard Baldry from ROTH Capital. Please go ahead.
Richard Baldry: Thanks. First, on the organic growth side. Can you talk about how much or how maybe, how you structure in the sales force to go after RCM, which seems sort of like a very different sale than sort of EHR or other solutions. Is it a unified sales approach or if it's split, how much do you really push one versus the other? And where are you seeing your better results?
Hadi Chaudhry: Great and then thank you, Richard. Thanks for the question. It's a good question. And we also have Karl Johnson is our Chief Growth Officer with us and he can just give some more color, more details to it. As you mentioned, we started ramping up this team over the last two quarters. And we're addressing here the whole team is being divided in being addressing the different market segments and at the same time for different product lines. And maybe Karl, I will turn the floor over to you, maybe you can give some color to more how the team is structured.
Karl Johnson: Yes, thank you, Hadi. So looking overall, RCM revenue cycle services were about half of our sales. Software alone in the SaaS model about a third and fourth about an eighth. We have a team of 44 sales and marketing folks. They really are selling both the software, and RCM. And our focus has really been on expanding into the enterprise type sales. So we've had a significant growth in that team. And in fact, our advanced pipeline, a good share of that now is due to enterprise sales prospects, so by advanced pipeline, I mean people that are reviewing proposals, negotiating contracts, et cetera. Thank you.
Richard Baldry: And secondly should be on the M&A pipeline, could you maybe talk about what you're seeing there. I mean how impacted by COVID was that in terms of, is it tougher to analyze the company's results for 2020 because they're dampened as well. Maybe there's some reluctance to sell until things sort of rebound or maybe there's more impetus to sell because of the challenges of 2020. But I'm curious, and maybe valuations things you're seeing, so we get an idea for how likely it is to see more or less M&A activity in 2021?
Stephen Snyder: Great question. Thanks, Rich, for asking it. And maybe breaking down that question into a couple of the parts that that you asked in particular, first of all, with regard to analyzing a company, is it tougher, maybe not tougher, per se, but definitely requires us to look at a -- an increased period of time, it's important for us to go back and look at multiple years, and then to try to understand the COVID period in view of those trends that existed prior to COVID. So certainly requires a little bit more in terms of analytical gymnastics as it were to make sure that that we're really best understanding the COVID impact as opposed to just a continuation of those same trends. With regard to the reluctance from a seller's perspective, I think you hit the nail on the head. There has been some reluctance relative to some of the companies that we have historically targeted and continue to target those companies where we really see an opportunity to add value. We see an opportunity to be able to address something in the existing operations or business model of that company that we believe we can address as a combined company. Companies that have been more distressed, it's been our observation that those companies have been able to remain in business, by virtue of some of the governmental incentives that PPP loans, some additional reluctance on behalf of creditors to enforce their rights, forbearance from lenders and the like. So that's provided, perhaps a bit of an artificial extension of the timeline to exit. But we believe that we're probably rounding the corner with regard to those sorts of COVID-related extensions of time. In fact, when we step back and look at the opportunities more holistically, we think if anything, those opportunities have actually increased overall. If we think about, in particular to the first part of your question, the overall pipeline, we really continue to believe that the same thesis, we've had for the last 15 years or so, that's really been driving our acquisitive growth, the thesis being that the revenue cycle management and also healthcare IT markets are heavily fragmented and right for consolidation continues to be the case today. And we really continue to really deploy and pursue these opportunities with that same discipline approach we've been taking over these years and -- and we're really optimistic that as we look, think about 2020 representing probably the 14th year or 15th year of our M&A strategy, campaign represented the two largest acquisitions in our history. And we really, as Hadi mentioned, we'll believe our best days are ahead, whether it be organic growth or acquisitive growth or the continued growth of our overall platform.
Operator: We'll now take our next question from Marc Wiesenberger from B. Riley Securities. Please go ahead.
Marc Wiesenberger: Thank you. Good morning. With the more than 40,000 providers that you're serving, can you update us on the current net patient revenue under management and what your expectations are for growth of that in 2021?
Hadi Chaudhry: Thank you, Marc for the question. This 40,000 the provider decades, it's coming from a whole combination of the services that we're offering. One is from the revenue cycle management; others are using the SaaS-only solution. And when we talk about the RCM, most of those customers out of the 40,000 they do also use our any of the proprietary technologies that we have. And then we have a good chunk of the provider that are using our BI solution probably close to maybe less than around 40%, 45% on the BI, the solution that we have. And then we have our providers who are using an RPA robotic automation process set and then the GPO and the like. From the revenue standpoint, yes, still the most of the revenue is coming from the RCM Plus the package which is RCM Plus technology, and often followed by our SaaS-based model, and then all of these of other tools. And many of our patient engagement solutions from the patient standpoint, whether that's Breeze or others that's currently are still being sold as a packaged solution. But having said that, there are certain appliance especially on the CareCloud Health Side the company required, they are directly monetizing the patient experience management using the Breeze. But to summarize the answer towards your question so let's say continue for the year we believe that still the most of the revenue will keep on coming from RCM Plus or technology solutions together.
Marc Wiesenberger: Got it. Okay, thanks. So big topic lately has been the shift toward in home care. I'm wondering, if you can talk about the offerings that you have around that space and if you expect to kind of develop further to help that growth there?
Hadi Chaudhry: Great question, Marc. As you remember before the pre-COVID world at least probably a year before that we already launched our first Telehealth solution. That's of course one of the tools that enables the patient and the providers to conduct a performance in home care. The post-COVID, not only we launched the next advanced version of our Telehealth solution on MTBC's proprietary delta in the platform. The CareCloud, the then CareCloud the company that we acquired, we integrated quickly our Telehealth solution into that platform. So today our offering includes whether that's our proprietary platform on the TOC EHR that we have been using for the last couple two decades. And then the next version of the initial the practice management software or our new platform under this CareCloud, the Telehealth is part and parcel of the same solution. So most of that is being sold similar to other package deal as part of an overall offering with some exceptions there, some of the clients would only would like to use continue to use, the -- only the Telehealth version of it. On the other -- one of other perspective, interesting part is we have done from the physical therapy phases one large enterprise clients who we work with. They provide the home health therapy services across multiple states. And we came up with multiple not only from the RCM standpoint, a customized, developed, integrated solution was provided to help them support that home healthcare with the help of apps, web-based system, fully integrated with the existing EHR and then MTBC's practice management system. Hope that answered your question?
Marc Wiesenberger: Got it, yes. And just one final one. Another major theme is the shift from fee-for-service towards value based care. What percentage of your RCM providers kind of operate under the value based care regime? And I guess as that number does potentially increase as we move forward, what are the potential impacts to the top-line? Thank you.
Hadi Chaudhry: Again, another good question. I think this model, we deliver the way we’re looking at it, it is in infancy stage, from the adaption point of view, we do not have exact number with us. But I would say our contribution towards this margin will be so fractional less than 2% or 3% at this point. So for the -- at least for the foreseeable future, for the next few years, we don't see a big shift in terms of from our revenue, the way the revenue is calculated, because of this general industry. But at the same time, our systems that we do support, we already have the number of search, including even the search of some of the certifications, and we can service the client, who wants to go for this model of fee for -- instead of a fee-for-service model a quality care based model.
Operator: We will now take our next question from Allen Klee with Maxim Group. Please go ahead.
Allen Klee: Good morning. Could you give us some color or guidance on the outlook for CapEx and capitalized software for 2021?
Bill Korn: Sure, Allen. So as you know, GAAP requires us when we're doing work on new products that are not yet generating revenue we're always required to capitalize that that expense. And so we'll continue to see that. I think if you look at first quarter of 2021, you'll see that there was roughly $1.5 million of development that was capitalized, which was very similar to what we saw in first quarter of 2020. So I anticipate that you'll see numbers that are somewhat similar to that as we go through the year. Now again, as we continue to enhance the capabilities that we got through last year's acquisitions, and integrate our core platform that we developed internally with the platform that we got both from CareCloud which we bought in January of last year, and Meridian that we bought in June of last year.
Allen Klee: Thank you. My last question is how much of the ATM has been exercised so far?
Bill Korn: We have not started to sell anything off the ATM. The ATM that you're referring to, when we filed a, when we changed our name to CareCloud, we were now large enough that that we were eligible to file a shelf registration statement without the restrictions what we call the baby shop rules that we were operating under in the past. Then we filed a new S-3 which was declared effective by the SEC. As we did that, we included the facility to allow us if we chose to sell shares of common stock at the market. However, and I'm sure I sound like most CFOs, most public companies, we look at our stock and say there's no way we're selling shares at this price, at least not today. So we've got a capability that that's available to us at a point that we're excited about the price that the shares are receiving. We may choose to exercise the capabilities, they're raising capital that could be used to help us to grow the business again, both organically and potentially through acquisitions. And as mentioned, our preferred stock at this point is fully redeemable and it's been a great source of capital for us without having to sell shares at too lower price. Well, when the price is right, we might start selling common and we might start redeeming preferred, you never know.
Operator: We will now take our next question from Gene Mannheimer from Colliers Securities. Please go ahead.
Gene Mannheimer: Thanks. Good morning and congrats on a good quarter. I want to just continue with the organic growth theme for a moment. Can you talk about the percentage of bookings that you're generating from net new customers?
Hadi Chaudhry: Thank you, Gene and good morning. It's good question. And again as Karl can just give some more color. In terms of -- from the percent if you are thinking about difference between the upsells versus the new customers. So if you look at the numbers today, so we're about, if you look at the last two quarters, collectively, about 50% of those are coming from the new customers and there are about another 30% that comes from some of the existing practices growing by adding more and more other smaller groups, we continue to be able to go and sell them and they continue to add more and still keep bringing those new customers to us. About 20% is coming of the bookings were so in upsells over the last two quarters. Karl, would you like to add any further color to it?
Karl Johnson: No, I think you've covered that well Hadi. But I think it is worthwhile to note that we do see a tremendous opportunity for providing revenue cycle services to roughly a quarter of our client base that are on a software platforms, practice management software platforms and has a very strong focus of our sales efforts is on selling to existing clients. In fact, we have dedicated team to do so. Thank you, Hadi.
Gene Mannheimer: Yes, good color. Thank to both of you. And if you could comment on some of the attrition trends in the business, are you seeing them higher or lower? I know with Meridian coming up on about a year old now has most of the expected attrition from that transaction already plays itself out.
Hadi Chaudhry: A good question again, Gene. As we know in this industry, in our space about 12% attrition is considered to be still an acceptable range due to the various factors. The last year as we disclosed our retention was close to about 9.8%, 9.9% and for this year as well, so far we're happy to report we are, if not exactly if not the better we're tracking towards the same number. So we have not seen any difference much in terms of retention, there is difference it is towards the positive side.
Gene Mannheimer: That's good trends. Thanks for that. And last one from me then is an update on your Force program, I thought I heard Karl mention that it's maybe about an eighth of sales. Are there any new client arrangements to speak of here and how do we think about the overall contribution to revenue, is it greater than 5% of company revenue for example. And that's it for me. Thanks.
Hadi Chaudhry: Great. And again, Gene, typically we do not publicly disclose the numbers in terms of the revenue for these specifics. But maybe Karl, you can talk about overall the Force opportunities.
Karl Johnson: Thank you, Hadi. Actually, we did see Force being replicated an eighth of the most recent sales numbers. We do think that there's been opportunities as we really just launched Force in the second half of 2019 and the primary sources of revenue, their workforce augmentation, white label, software applications. What we are seeing is, it's a very natural outgrowth of our acquisition strategy. So a number of the deals in our pipeline have come from that. So somebody who we'd looked at for an acquisition that might not have been a great fit. But we can go to them and say, we can provide you with certain resources and that's been I think a homerun for us. Thank you, Hadi.
Operator: We'll now take our next question from Kevin Dede with H.C. Wainwright. Please go ahead.
Kevin Dede: Good morning, gentlemen. Thanks for taking my question. Yes, Hadi, I'd like to go back to Force and just sort of understand how you've integrated that into your sales and marketing effort. I'm glad Karl's on the call. Maybe he can throw a couple of words in on it. And maybe, Steve, if you could comment on a two given that it sort of crosses over into enterprise software sales as well as driving the M&A effort.
Hadi Chaudhry: Good morning, Kevin and thank you for question, maybe I can start and then Karl can take it over. Either with one piece of is as you understand, we have a global workforce of about 3,000 employees. And not only on the operations side, we have 600 plus IT, R&D team members. So the whole logic behind starting this course was the same, providing the offshore, combination of an offshore and onshore resource the workforce, not only on the billing operations side, but at the same time, wherever possible on the technological side too from the IT, R&D resource perspective. So that's how we started, we believe we're in a best position since because of this proven track record of over the last 20 years of expertise and client retention and our ability of being working over 50 different platforms. So I'll turn over to Karl for any other further addition, he would like to give.
Karl Johnson: Thank you, Hadi. Yes just to provide you some color on the sales process for Force with the development of the large group that I would call it sales opportunity, which is selling into practices that are enterprise level, we have spent a good deal of effort training up our existing large group sales teams, which is six people plus myself, where anytime that we're in talking to somebody about a large software deal, we also can offer them labor in a different set. And actually, we've had some very recent successes in our sales process by doing so. So I think that's really kind of a, it's now become an integrated sales process, rather than an isolated one, where we're looking not only at new deals, but also with existing clients to say, is there an opportunity for us to provide you some backend service. We've also seen a very significant interest in us providing white labeled software applications to billing companies in the like and EHR companies. Thank you, Hadi.
Stephen Snyder: Okay and I'll just throw in one last thing. And thanks Kevin, again for the questions. And you're absolutely right. There's a certain synergy between the MTBC's Force opportunities and acquisitive growth opportunities. And I think we continue to see that, one interesting trend that really perhaps more driven by the kind of the unique time that we've lived in over the last year or so, still relates to the fact that loan forgiveness for instance under PPP loans which are very common with regard to the smaller RCM companies that are good candidates for PPP. So that loan forgiveness is really in large part conditioned upon retaining employees. And part of the thesis or the opportunity around Force is really to reduce some of the onshore labor costs in favor of leveraging less expensive global team members and technology. So I think while that kind of holistic industry and business trends are actually moving increasingly and stayed in the direction of the Force opportunity, I think, as onshore labor costs continue to go up. I think the PPP loans and other similar incentives that have done a good job in terms of encouraging employers to retain employees, I think is a bit of a countervailing trend or win. That said, I think some take the momentum temporarily in that regard. But in any event, back to your main question, absolutely there's that synergistic relationship between the two continues to exist. And we think we'll be a powerful driver on both sides of the equation as the year progresses and future grows.
Kevin Dede: Hadi, one other one from me, I don't understand, I guess how you intend to commercialize the consolidated package that you talked to in your prepared remarks. It seems to me that it's one of your competitive advantages and differentiators. Could you just sort of explain a little bit, how you can translate that to something that you might offer someone else?
Hadi Chaudhry: Sure, great question, Kevin, and let me just give some little background to it and I'll come to answer your specific question. We're very excited about this new tool as part of our broader plans for a suite of interoperability products. The CareCloud Conductor it is an integration and interoperability engine and while this concept to your point is not necessarily a new one in the market, but we believe that our approach to how we're trying to achieve this capability would be. We're excited about this new solution for a variety of different reasons. As you may know, there are many different types of systems that we must integrate and the industry integrates which in order to best serve ours and their customers. These can be anything from other practice management systems to EHR to labs and state registry. Traditionally, this is being done using many standards such as HL7, FHIR or many other proprietary standards. So over the years, we have had to build so many of these interfaces in support of our customer needs. So with CareCloud conductors, now we're able to unify these interfaces into a single view and simplify this experience for our teams internally and cut the time it takes to integrate with other systems significantly. This also provides the ability to centralize management of all inbound and outbound data streams, also give us the monitoring visibility on the services to provide across this entire process. Free flowing of data exchange within all the CareCloud organizations, whether it's Meridian and number of others that we have acquired, it's reusable and streamline third-party vendor integration via proprietary interface library that you're following them now. So all this while simultaneously reducing our reliance on third-party integration companies or technologies and the costs associated with them was good. So on the internal side, this will absolutely help us by cutting the time it takes to make that interface live, we will have to spend less cost in terms of the man hours and less complicated in terms of the future implementation. So yes, this product is not completely entirely new in the market. There are a number of other similar divisions that exist out there. But I think in terms of, when you look at even from the pricing standpoint, similar to any of our other offerings, we should be able to offer that we believe at a fraction of the cost of any other company, or the vendors of vendor servicing. So on one side, we have a library of integrated or integration libraries, the interfaces written over the last two decades and not only with CareCloud is an MTBC company but with these other companies, we're required. So we have consolidated all of that in one, so that we believe will be a one advantage, competitive advantage when we go, when we try to commercialize this product, along with the cost impact.
Kevin Dede: I got it. I got it. Okay. Well, thank you very much, gentlemen. Thank you really appreciate it.
Hadi Chaudhry: Thank you, Kevin.
Operator: We will now take our next question from David Larsen from BTIG. Please go ahead.
David Larsen: Hi. Can you talk about your M&A plans going forward? Are there any products in the market that you feel like would fill a need in your portfolio of solutions that you have now? And I'm thinking along the lines of perhaps like payer facing or plan facing or self-insured employer facing solutions where you can charge like a PMPM rate and get into like remote patient monitoring? There's been a lot of chatter about that recently, obviously, with the Wall Street Journal article that was published earlier this week. Just any thoughts there will be very helpful. Thank you.
Stephen Snyder: Thanks for your question, David. And as you allude to, historically, our acquisition targets have really come from either the revenue cycle, electronic health record, PM, GPO, BI type verticals. We're actively looking for companies still in those target markets, where we really think there's a significant opportunity and where we can really add value. But we are also here to answer your question, exploring other verticals, things like revenue integrity, or Pop health and patient engagement, scheduling, analytics, caring navigation that worked out the whole variety of other verticals, where we also see an opportunity to add value. Now, from an acquisition perspective, the primary driver of that focus is not per se to acquire the technology, that's in some instances, there's some real value added and CareCloud and Meridian are good examples of that. But that really probably is not the main strategic driver with more than 400 IT, R&D team members globally, including many talented team members also here in the U.S., in addition to those, we have offshore who are employed by us, we really have the capability to develop the technology that that we believe will continue to make us competitive in this space and help us stay on the leading edge, when it comes to the opportunities.
David Larsen: Okay, great. Thanks very much and congrats on your performance.
Hadi Chaudhry: Thank you.
Stephen Snyder: Thank you.
Operator: We'll now take our next question from Michael Galantino from Chapin Davis. Please go ahead.
Michael Galantino: Good morning, everybody. Great quarter. Thanks for allowing me to ask the question. This is for Hadi and Steve specifically, can you give us an update on how successful CareCloud or MTBC has been integrating the technology from the acquisitions, last year Meridian specifically and obviously the CareCloud, CareCloud acquisition. I mean how has it been putting the pieces of the puzzle together? And more importantly, the second question I have is, are there opportunities to cross-sell new capabilities to your existing clients? And I assume that was the game plan all along, can you collaborate on it a little bit? Thank you.
Hadi Chaudhry: Thank you, Mike, good morning, and then thank you for the question. And yes, our technology integration is we believe is going very well according to our plan. We continue to grow our overall value proposition extensively and expand the main category products we offer between the Care -- the CareCloud Company we acquired or the Meridian Medical Management. From revenue cycle management to practice management software to industry leading healthcare, business intelligence tools and precision BI and our award winning patient experience management platform. We continue also to find new and exciting opportunities with our Robotic Process Automation bots as well where we have given examples of how we're integrating Breeze for example with TOC EHR for our small practice segment. And the Breeze was technology for the practice management that the company, CareCloud we acquired. They had this proprietary products that we have been able to now almost implemented the Breeze integration with TOC EHR with some of the trials being trying to use on a valuation version. We're also leveraging our RPA bots initially internally because that we believe from one perspective, the proof of the concept comes in at the same time that helps us eliminate some of the mundane tasks entirely been to significantly improve the operational workflows and then in addition to that, from the cost standpoint. At the same time that RPA bots are, we're currently working with two other large enterprise groups that we have between the different platforms. And we're in the process of integrating those microbots with those clients. In the same way, there are certain plans, let's say TOC, EHR and CareCloud, the EHR and the practice management, which basically serves different market segments. So we continue to offer TOC EHR to the small practices and at the same time, and in some cases, to the medium-sized groups. And we continue to offer -- we continue to go to market for the CareCloud platform for the medium to large enterprise groups. So those stay that as it is. So on one side, there is a strategy, what to sell in which market segment and on the other side, there is an interoperability and integration between the different technologies that is taking and happening, and we continue to sell between the different markets.
Michael Galantino: Do you actually, you break those numbers out in terms of sales from existing clients from new technology that you've acquired through these acquisitions? Or is that not broken out?
Hadi Chaudhry: No. We do not publicly release those numbers, disclose those numbers.
Operator: It appears there are no further questions at this time. Ms. Blanche, I'll pass the call back over to you for any additional or closing remarks.
Kim Blanche: We'd like to thank everyone who's joined us on today's call. We appreciate your participation and interest in us as a company and we look forward to speaking to you again next quarter. Thank you and have a great day.
Stephen Snyder: Thanks, everyone.
Hadi Chaudhry: Thank you.
Karl Johnson: Thanks.
Operator: This concludes today's call. Thank you for your participation. You can now disconnect.